Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2014 Air Lease Corporation Earnings Conference Call. My name is Jackie, and I will be your coordinator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to Mr. Ryan McKenna, Vice President. Please proceed, sir.
Ryan McKenna: Good afternoon, everyone, and welcome to Air Lease Corporation's First Quarter 2014 Earnings Call. This is Ryan McKenna, Vice President, and I'm joined this afternoon by Steve Hazy, our Chairman and Chief Executive Officer; John Plueger, our President and Chief Operating Officer; and Greg Willis, our Senior Vice President and Chief Financial Officer. Earlier today, we published our first quarter 2014 results. A copy of our earnings release is available on the Investors section of our website at www.airleasecorp.com. This conference call is being webcast and recorded today, Thursday, May 8, 2014, and the webcast will be available for replay on our website. [Operator Instructions] Before we begin, please note that certain statements in this conference call, including certain answers to your questions, are forward-looking statements within the meaning of the Private Securities Litigation Reform Act, including, without limitation, statements regarding our future operations and performance, revenues, operating expenses, other income and expense, and stock-based compensation expense. These statements and any projections as to the company's future performance represent management's estimates of future results and speak only as of today, May 8, 2014. These estimates involve risks and uncertainties that could cause actual results to differ materially from expectations. Please refer to our filings with the Securities and Exchange Commission for a more detailed description of the risk factors that may affect our results. Air Lease Corporation assumes no obligation to update any forward-looking statements on information in -- or information in light of new information or future events. Unauthorized recording of this conference call is not permitted. I would now like to turn the call over to our Chairman and Chief Executive Officer, Steve Hazy.
Steven F. Udvar-Hazy: Thanks, Ryan. Good afternoon, and thank you for joining us today. I'm pleased to report that Air Lease increased its diluted EPS to $0.57 per share in the first quarter of 2014 compared with $0.38 in the first quarter of 2013, which is an increase of 50%. Our top line revenues for the first quarter of 2014 were $246 million versus $192 million in the first quarter of 2013, an increase of 28.3%. Air Lease's pretax income in Q1 2014, which is an important measure that we use, was $94.7 million versus $61.7 million the prior year, a 53.6% increase year-to-year. This was achieved through our core leasing operations, our focused efforts on reducing our cost of funds, as well as sales and trading activities. We have a strong investment-grade quality credit profile and Air Lease is soon crossing the threshold of having built a 200-aircraft owned portfolio and a $10 billion total asset quality balance sheet in the coming weeks. These operational and financial achievements place Air Lease at the top-tier aircraft lessors. Just to note, Air Lease is taking delivery of 50 new aircraft this second quarter of 2014, including 6 new Airbus A321-200s, 2 new Boeing 777-300ERs, 4 new Boeing 737-800s and 3 new ATR 72-600s for a total of 15 aircraft. Passenger traffic continues to meaningfully outpace global GDP growth and we're observing a rising demand for our new aircraft. IATA reported that passenger traffic for the first quarter of 2014 grew 5.6% versus 5.2% in the first quarter of 2013. We're keeping a watchful eye on statistics that could suggest any slowing in future months, but we view this as a continuing positive sign for the overall health of the industry. In addition to the traffic growth, we remain primarily focused on the demand generated by the replacement cycle of an increasing number of aging aircraft. ALC addressed some of these demand by topping up future orders for 9 incremental aircraft during the first quarter, with Boeing, Airbus and ATR to meet the precise needs of our airline customers. As we look towards the airshow in Farnborough this summer, we will closely evaluate the new-technology aircraft from the manufacturers, with a laser focus on favorable economics to our customers and our shareholders. We're currently evaluating a number of aircraft types, including future product offerings: from Boeing on the new 777-9X; from Airbus on the potential of a new A330 NEO; and from Embraer in Brazil on their E2 next-generation 190 and 195 aircraft. We have seen very strong demand for our A321 NEO aircraft, and now have concluded and announced the first leases on those aircraft with 2 different airlines. We remain mindful of the currency and political risk that our customers face as we look beyond to the rest of 2014. Currently in our fleet, we have not experienced any customer issues regarding currency fluctuations. However, we view the strength of the U.S. dollar as a potential opportunity to acquire reasonably priced assets from increased volatility peers in emerging markets. We're watching geopolitical events unfold in Russia and the Ukraine in Eastern Europe, and think it’s useful to mention that ILFC has minimal exposure to these regions, both in terms of our current fleet and our forward order book. And generally, we feel very good about our portfolio of aircraft, our airline customers, regional exposures and concentration limits. We believe that we've got the right balance. With these strong results in mind, Air Lease's Board of Directors decided yesterday that it was appropriate to continue our quarterly cash dividend of $0.03 per share per quarter. With our firmly contracted pipeline, our investment-grade credit profile, ALC is well-positioned to thrive in this evolving landscape. Now I'd like to take the opportunity to turn this over to John Plueger, our President and Chief Operating Officer, member of our board, who will further discuss our operations and strategic positioning.
John L. Plueger: Thanks, Steve. During the fourth quarter, we delivered 5 aircraft from our order book and sold 2 aircraft from our fleet, ending the quarter with 196 aircraft in our portfolio. Now Q1 has historically been a light quarter for deliveries and Q2 will pick up with the additional aircraft that Steve advised, including 2 777-300ERs. I'd like to point out that those aircraft are delivering predominately in the back half of the quarter, so the full impact of those leases will not be realized until subsequent quarters. Regarding sales activity, we started off the year by selling 2 older aircraft from our fleet, plus 2 aircraft sold on a trading basis, each for a gain. We've been selling some of the few older aircraft in our fleet for the past 2 years and I want to remind you, we actually have very few older aircraft in our fleet. However, we anticipate very light aircraft sales for the next quarter. As time passes and our fleet continues to grow, more aircraft in our fleet will reach the 7- to 8-year age range and become candidates for sale. As such, we anticipate more sales to occur in the second half of the year. Demand from buyers of midlife aircraft is solid. Also, as we've previewed to you last quarter, we did receive in Q1 the insurance proceeds from the fourth quarter loss of our Embraer 190 and we do have a multi-million dollar gain from those proceeds, included in other income for this quarter. During the last earnings call, we indicated that we have concluded all of our new aircraft placements in 2014 and 2015, our focus shifting now to 2016 and beyond. Due to the incremental orders during the quarter, which we've now advised you of, we now have 1 incremental unit in 2015 that we'll place shortly. I'd like to reemphasize that those -- that these orders were in response to continued customer demand. Let me just comment that along the same lines of the growing order backlog and lead time with the airframe manufacturers, we also see a trend toward forward lease placements further and further into the future. We now have airlines requesting quotations and leases on next-generation aircraft delivering in 2017 through 2019 and beyond. Many of these airlines have delayed too long ordering their own new generation equipment, thereby, needing to obtain these aircraft from our order pipeline. It provides us with an interesting dynamic, as we decide exactly how far forward our lease placements should be. This is a good problem and speaks well for the strong yet very manageable forward order book that ALC has set to be on a continued steady growth trajectory for the foreseeable future. Before I turn this over to Greg Willis, I just want to make a quick comment that we don't do often enough, and that is simply to thank all of the Air Lease team and employees for their dedicated and tireless efforts every single day to produce these good results for our shareholders. So let me now turn this over to Greg Willis, who will talk -- walk you through our financial profile that we believe further differentiates ALC. Greg?
Gregory B. Willis: Thanks, John. And since the announcement of the 10-K, ALC has completed 2 significant financings. First, we opportunistically tapped the capital markets for a benchmark $500 million senior unsecured bond priced at 3.875%, maturing in 2021. This was an excellent transaction for the company. We were able to tighten our spreads at Treasury benchmark materially from prior transactions, broaden the distribution of investment-grade investors and extend the duration of our debt portfolio. We believe there is substantially more room for spreads to tighten as our credit profile continues to strengthen. Secondly, we were able to upsize and extend the maturity of our corporate unsecured revolver. We increased the size by $100 million to $2.1 billion priced at LIBOR plus 125 with no LIBOR floor, now maturing in 2018. The extension of this facility has created a smooth maturity profile for the next 7 years. We remain extremely appreciative of the support of our globally diversified banking group. Our strong cash flows during the quarter, coupled with a light quarter of deliveries, actually caused us to de-lever slightly to 2.3x debt-to-equity. Our debt-to-equity ratio has quarterly cyclicality that matches our delivery stream but has no impact on our overall target of 2.5x to 1x. Our cost of funds remained steady during the quarter at 3.7%. We continue to make progress reducing the secured debt on our balance sheet, now only 14% of total assets. This is extremely close to our stated target of 10% secured debt-to-total assets. When looking at our debt portfolio, 77% of our debt is unsecured. Additionally, we have now reached a target of 70% fixed-rate debt that we stated as our goal when we founded the company. We said that we will achieve this balance without using hedges or swaps, and I'm pleased to report that we have lived up to that commitment. This concludes my review of the financing activities of the company. And I will now turn it back to Ryan.
Ryan McKenna: That concludes management's remarks. [Operator Instructions] Now I'd like to hand the call over to the operator. Operator?
Operator: [Operator Instructions] And your first question comes from line of Moshe Orenbuch with Crédit Suisse.
Moshe Orenbuch - Crédit Suisse AG, Research Division: Those 9 new orders, I mean, what kind of happened to allow you to do that? And is that something that you think will open up? I mean, are these things -- are these slots that you're trading with others? Can you talk a little bit about that?
Steven F. Udvar-Hazy: No, they were direct orders from Airbus, Boeing and ATR that we've been discussing with them for some months, and a few airlines moved their own direct orders around and we're able to get some slots that we thought were beneficial for us and we had already targeted customers.
Moshe Orenbuch - Crédit Suisse AG, Research Division: It certainly sounds like you only had one of them still available. Any kind of ability to tell us about whether there's -- or you think there would be more kind of coming as the year goes on?
Steven F. Udvar-Hazy: I don't think there'll be anything in the short-term. I mean, the order books are pretty booked up at both Airbus and Boeing. We do look for periodic, opportunistic situations. But it's a pretty rare occurrence.
John L. Plueger: Moshe, this is John. I just want to comment that we -- this is really nothing new from us. We have routinely, on an opportunistic basis, we picked up incremental orders from the manufactures over the last couple of years, including in 2011 and 2012. So it's just a matter of finding the right opportunities and making the stars align.
Operator: And your next question comes from the line of John Godyn with Morgan Stanley.
John D. Godyn - Morgan Stanley, Research Division: John, you had some very interesting commentary about a willingness to lease forward through 2017 and 2019. I was hoping that you and Steve could, perhaps, elaborate on what you're hearing from customers there? Is that all replacement demand? Is it partly a desire to grow as airlines look out that far? I mean, they've been pretty profitable lately. Just elaborating would be very helpful.
John L. Plueger: Sure, John, happy to do that. Yes, it is primarily the replacement of aircraft. For example, I'll just give you one example, we're working on a current project where we have our A350-900s delivering in 2019 and beyond. This would be for an operator that's currently phasing out the remainder of its A340 aircraft. So it is all of the above but, primarily, replacement-driven. And so I think the point we're simply trying to make is in many ways, our backlog, if you will, or our demand going out in the future is paralleling the large backlog and demand from the airframe manufacturers. And for us, it's really a question of how far forward, sitting here today, do we decide to lease an aircraft. I mean, do I go out 5 years? Do I go out 6? The world changes very quickly. So it's a matter of judgment and a -- or a matter of our assessment of the stability of every individual customer we're talking about. But I think it is -- I think it bodes well and particularly bodes well with respect to our order book. These are basically, precious commodities going forward, and there are many airlines which have not yet ordered new-technology, new generation aircraft, both on a twin-aisle and a single-aisle side. So as I said, it's a good problem to have.
Steven F. Udvar-Hazy: I just want to add to John's comments that on these forward lease placements that are involving deliveries that are 2, 3, 4, 5 years from now, we do build in some very appropriate financial adjustment mechanisms to protect Air Lease Corporation from interest rate fluctuations or any adverse event that may occur with the customer itself.
John D. Godyn - Morgan Stanley, Research Division: That's very helpful. And Steve, you mentioned the A330 NEO. I was wondering if you had any sort of initial thoughts that you'd care to share?
Steven F. Udvar-Hazy: Yes, we've had a lot of going back and forth with Airbus, with the engine manufacturers, with a number of airlines that have sort of raised their hand as potential launch or co-launch customers for the airplane. Basically, I think what Airbus is evaluating is a new generation of A330-200s and 300s with engines that are of more current technology and are being currently devised or in operation, derivatives of engines already in operation that would offer a double-digit increase in efficiency and fuel savings. And I think Airbus is looking at that very carefully as a possible alternative to the A350-800.
Operator: And your next question comes from the line of Helane Becker.
Helane R. Becker - Cowen and Company, LLC, Research Division: Just a question about the 196, and I think you mentioned that you would have over 200 aircraft by -- in short order. How does that compare with where you thought you'd be when you did the IPO?
Steven F. Udvar-Hazy: I think it's actually very close. I would say it's within 15 to 20 airplanes of where we thought we'd want to go.
Helane R. Becker - Cowen and Company, LLC, Research Division: Where you thought you would have like 185, 180, 185 or where you thought you'd have, like, 210 or 215, which direction?
Steven F. Udvar-Hazy: More like the 185.
Helane R. Becker - Cowen and Company, LLC, Research Division: Okay, all right. That's great. And then -- I'm sorry?
Steven F. Udvar-Hazy: What we didn't forecast is 2 factors. We did not anticipate a stronger demand for new generation aircraft leasing from the airlines, which is really part of this replacement cycle that John just talked about. And secondly, we have enjoyed a lower rate of funding our portfolio which, in turn, has enabled us to add more aircraft because our profit margins have been wider than what we originally anticipated back in 2010, 2011. So we've had the luxury of being able to absorb more aircraft into our fleet because the financial profile of our balance sheet has been stronger than what we originally projected.
Helane R. Becker - Cowen and Company, LLC, Research Division: Okay, that's actually really awesome to know. And that's -- the only other question I really had, and John, you may have just answered it, too, is with regards to the 2017, kind of, '19 deliveries in terms of the credit quality of the airlines. I mean, how do you feel about the credit quality of the book now and the companies that are coming to you, are you happy with their credit quality as well? Or would you be in a position where you would say, "No, we don't want to lease to you because we're concerned about your future?"
John L. Plueger: Yes. We are -- I think Steve hit it on his remarks that we're very happy with the overall balance, credit quality of our current portfolio and of our current customer base. So but clearly, as we look forward out 4, 5, 6 years, that becomes even more critical because we're placing a longer forward debt with potential customers. So I would say it's safe to say that to the extent that we are placing some of our newer technology aircraft now, you've seen us announce some NEO placements recently and we'll be announcing further high-technology placements in the coming quarters, we will be paying particular close attention to our assessment of each of these customers, especially as you get out of the 2019, '20 time frame.
Steven F. Udvar-Hazy: But we are very focused on customer quality, both in terms of operating integrity and financial capability. Just to give you a little example, we have 5 new Boeing 777-300ERs delivering this year. 2 are going to British Airways, on long-term leases; 2 are going to Air New Zealand on long-term leases; and 1 to Etihad Airways in the U.A.E. So you can see that the credit quality and the solidity of these clients does give us the ability to sleep at night in terms of their ability to make their lease payments for many, many years to come.
Operator: And your next question comes from the line of Arren Cyganovich with Evercore.
Arren Cyganovich - Evercore Partners Inc., Research Division: On the aircraft that you sold in the quarter, could you give any details about what types of aircraft those were? And are these aircraft that you're going out and marketing or is it actually a lot of inbound demand coming to look -- to take some of your fleet?
Steven F. Udvar-Hazy: Yes, we actually sold 2 aircraft from our portfolio, one of our oldest Boeing 767-700s, which we sold to another smaller boutique lessor and we sold a Boeing 767-300ER, and then we also did a trade where we picked up a couple of 737-300s from one of our airline customers and immediately resold those aircraft at a gain. So we sold 2 aircraft from our portfolio and 2 aircraft in trading activity. And then as John mentioned, we finally, did receive the proceeds from the unfortunate loss of one of our Embraer 190s back in November of last year. We also had management fees and interest income, and that's all basically consolidated in that one line.
Arren Cyganovich - Evercore Partners Inc., Research Division: Okay. And then Greg mentioned that you reached your goal of 70% fixed rate on the debt side. Are your thoughts about funding going forward changing or do you think you'll still kind of lead towards the unsecured debt markets given the rates are just generally low overall right now?
Gregory B. Willis: No, we are very much sticking with the unsecured funding strategy. Also, keeping our 70-30 target for fixed versus floating, debt-to-equity of 2.5x to 1x, and with a high degree of focus on unsecured debt, targeting 90% of our debt portfolio -- of unsecured debt.
John L. Plueger: Yes, let me just add here, actually, this is relating to the Helane's earlier question about how does this all stack up to the IPO. I would say that that's one area that is way ahead of our most optimistic thoughts that we ever had when we went public, is not only getting an investment-grade credit rating this quickly, but switching largely to an all-unsecured balance sheet and the success that we've had at the debt capital markets. So I just feel compelled to say that, that is the one area that I think we have really felt quite good about and has really exceeded all of our expectations when we went -- from the time that we did our IPO.
Steven F. Udvar-Hazy: Yes, we continue to see some of our competitors do large-scale secure transactions. As we've stated before, and it's a strong operating philosophy of Air Lease, is that we believe that the investment-grade unsecured model gives us a lot more operating flexibility in deploying aircraft in different jurisdictions, moving airplanes around to different airlines and not having -- being burdened by mortgages and local registrations and legal complexities that can slow down the efficiency of our operation.
Operator: And your next question comes from the line of Mike Linenberg with Deutsche Bank.
Michael Linenberg - Deutsche Bank AG, Research Division: Just a couple of questions here. John, in the press release, you're quoted as saying that you've added some aircraft to new customers with long leases attached. Can you give us a feel of what the length of the leases are? And what -- how that compares to maybe a year or 2 years ago?
John L. Plueger: Yes, they're much more in the 12-year side, Mike. When we first started out and even in our IPO, typically, single-aisle aircraft were -- they're usually 7- to 8-year leases, and twin-aisles, 12 years. But we have -- and you've seen this gradually in the lengthening out of our overall lease maturity profile of now a hair over 7 years. We're actually doing a lot of single-aisle placements at 12 years and, in fact, some of our largest placements in China, to the 3 large airline groups in China, have all been 12 years. So I think it's a sheer result of the demand versus the supply that one of the advantage we've been able to achieve is lengthening out our overall portfolio so that within the last 12 to 18 months, in fact, we've done probably more single-aisle leases on 12 years than we have at 7 to 8 years.
Steven F. Udvar-Hazy: And Mike, this is Steve. We're also very conscious of our lease maturities. In other words, in any given year, as we look down the road 7, 8, 9, 10 years from now, we don't want to have a lot of aircraft in clusters coming off-lease at the same time. So we're going longer, as John indicated, and we're also managing very carefully that our lease maturity profile is a very gradual and manageable one going forward.
Michael Linenberg - Deutsche Bank AG, Research Division: Okay, good. And then just back to the gains on the 4 aircraft and then, you had the insurance gain. If I look at the other revenue, it was up $14 million. Just to kind of think about it from a modeling perspective, you basically said we weren't going to see much in the second quarter as it related to gains. It was more of a second half of 2014 phenomenon. What sort of percent of that other revenue maybe would tie to the gains on the 4 aircraft, plus the insurance piece? I know you said it was a multimillion-dollar gain, just, it could be rough numbers just to help us on modeling?
John L. Plueger: Mike, as you know, we never comment on individual transactions unless they made -- meet a material threshold, which none of these do, including share gains. So we really -- we're not -- we just don't comment any further as to size and the magnitude. I don't know, Greg, if you have any other comments that you'd like to offer up?
Gregory B. Willis: No, that's spot on, John.
Michael Linenberg - Deutsche Bank AG, Research Division: Okay, fair enough. And then just on my last question, Steve, you talked about the 5 777-300ERs, BA, Etihad, ANZ, I mean, credit quality. They're up there, they're amongst the best from a capital markets perspective. That said, when you think about widebody versus narrowbody and how you think about credit profile, would you be more willing to, at least with respect to narrowbody airplanes, to maybe lower your standards -- maybe it's not the right way to characterize it, but at least willing to look at lower credit profile carriers, given the fact that maybe it's just much easier to move narrowbodies between customers than the larger airplanes given the switching costs? I mean, just your thoughts on that?
Steven F. Udvar-Hazy: Yes, I think that's a good point. I would have to say, if you look at our total A320s, 737-800 portfolio, we do have a small number of airlines that, probably, The Wall Street would not consider AAA credits. So bear in mind that in some of those situations or most of those situations, we're able to command an above-market lease rate, with ample overhaul reserves and large cash security deposits. So I think we do sprinkle into our fleet some aircraft that maybe are a little more exotic airlines. But always very conscious that we don't want to have problems or defaults downstream. And certainly, on the widebodies, we tend to focus much more on the very high-quality intercontinental global network carriers. But on the single-aisle aircraft, because of their mobility and ease of leasing them to, in many cases, over 100 airlines operate those types, we do sometimes take a little more risk but a measured way and in a very, very thoughtful way.
Operator: And your next question comes from the line of Jamie Baker with JPMorgan.
Jamie N. Baker - JP Morgan Chase & Co, Research Division: John, just a follow-up on the earlier topic of potentially going out as far as 5 years in terms of potential lease placements. When you have these discussions with an airline, what are your underlying assumptions as it relates to the future interest rate environment? And might you begin engaging in any sort of interest rate hedging in this regard?
John L. Plueger: Yes, the short answer, Jamie, is no, not really, because as Steve alluded to in an earlier remark, we do have interest rate protections on all these forward lease placements. And so just to give you an example, we agree with an airline that their lease rate is X, but that X is dependent upon a financial index. Now those financial indices may vary. It's a point of discussion with the airline, whether it's a 7-year forward swap curve, or 10-year Treasury, but we pick some index that we agree upon. And then we actually come up with a formula that for each basis point in which that index might exceed at delivery of the aircraft, where it was when we negotiated a deal, the lease rate goes up Y dollars. And by the way, let me add, it's a one-way adjustment. The base floor is already set with the lease rate. So we are protected for our interest rates going forward because, obviously, at the delivery is when we fund the vast majority of the purchase price of the aircraft. So we're covered from an interest rate side. We're also covered under escalation. We pass on escalation. All buyers of aircraft in multi-year contracts have an escalation base here, as you probably know. And we pass on dollar-for-dollar, formula-for-formula the airframe manufacturers' escalation index, it's a public sort of thing. It's a feature [indiscernible]. It's a very standard calculation. So that is also passed. And in terms of our margin, if you will, our forward margin protection, we believe that we have that built in. And it then gets down to the airline. We do look out to the competitive landscape, how is the airline doing, what's its management, but how is it looking in the worldwide theater, how is the route development coming? Are there any alliances that look to the future? Who are their likely competitors and more importantly, when you get that far out, what aircraft is best suited to their route network? And it may be a bit simplistic, but you've probably heard us say it before at industry conferences, we take a very kind of an operation airline-oriented approach. At the end of the day, Jamie, we have to convince ourselves really of one thing and that is, will the airline make money with this specific aircraft? At the end of the day, here's what we found out after many, many years in various thick lease agreements and very good lawyers, throughout these lease agreements, one reality holds true. If the airline is making money with our aircraft, we get paid. If they're not making money with our aircraft, then who knows? So we really focus upon the aircraft, specific aircraft type and when we're looking that far out, we're looking at where this airline is going with its route network and is this the right aircraft. So that's really, I would say, a huge focus of these long, far-forward placement outlets that we're looking at right now.
Jamie N. Baker - JP Morgan Chase & Co, Research Division: Well, and I appreciate that clarity. And as a follow-up to that, are you actively engaged in any significant fleet planning discussions with any of your customers right now? And do you think that you have enough feedstock in terms of your delivery slots going out the curve or is there a pressing need to get more orders in, and I do apologize if you or Steve addressed this in the opening remarks. We were a little late dialing in.
John L. Plueger: The answer is yes, we are very actively involved with a number of customers and campaigns that far out, and advising on fleet growth and aircraft types. So that is ongoing. I think, look, we always continue to look at our orders and continue to do so. As Steve indicated in his remarks, we're looking at the new generation aircraft, the 777X now from Boeing, even the E2 Embraer jets, the A330 so-called NEO that we're now looking at. So that's very much an ongoing process here at Air Lease Corp., Jamie. And as time and circumstances dictate, we are always looking to add additional incremental orders as we see fit, and as we see that demand curve yet within the sphere of the ultimate governance, which is maintaining our investment-grade rating and keeping our debt-to-equity ratios in line and being able to very comfortably manage any further forward capital commitments.
Steven F. Udvar-Hazy: Also Jamie, if you missed the early part of our presentation that I did and Greg did, I believe it is available or will be available.
Operator: And your next question comes from the line of Jason Arnold with RBC Capital Markets.
Jason Arnold - RBC Capital Markets, LLC, Research Division: I was just curious if you could comment on third-party aircraft management opportunities out there that you're seeing at present?
Steven F. Udvar-Hazy: We have a significant amount of ongoing activity. During the quarter, we added a widebody Boeing aircraft, which we manage for another institution. And currently, there's ongoing activities and negotiations that would encompass additional aircraft that would be added to our managed fleet between now and the end of 2014. So we are building that business and we are working with multiple financial institutions, as well as just financial lessors, that do not have the internal infrastructure to do re-leasing and managing these assets internally. And that's all done on a fee basis.
Jason Arnold - RBC Capital Markets, LLC, Research Division: Super. And then just another follow-up. I think John, you had mentioned on the 15 adds for the second quarter, the 777s are going to be back-half-weighted. But is the remainder of the add kind of dispersed over the quarter?
John L. Plueger: No, the 15 are this quarter, not at the end of the year.
Steven F. Udvar-Hazy: [indiscernible] just second quarter.
John L. Plueger: The 15 -- both the 2 777s and, I would say, the other 13 aircraft are more weighted towards the second half.
Steven F. Udvar-Hazy: Right. So we get 1 777 that's going to British Airways toward the end May and then, we get another 777 new in June that's going to Air New Zealand. So they will be kind of toward the latter part of the quarter.
John L. Plueger: And those are the higher capital cost units.
Steven F. Udvar-Hazy: So starting in Q3, we'll get the full quarterly rental stream with those aircraft. But this quarter, we'll only get a fractional part of their total rents because of the delivery dates.
Operator: And your next question comes from the line of John Godyn with Morgan Stanley.
John D. Godyn - Morgan Stanley, Research Division: Steve, just on that last comment where you talked about the aircraft management business and the conversations you're having, I'm just curious what the long-term growth outlook might be for that business? I mean, we see other leasing entities out there that manage hundreds of aircraft for other parties. You guys obviously have an extremely strong platform, I'd imagine that you could grow that big if you wanted to. Just some thoughts on that would be helpful.
Steven F. Udvar-Hazy: Well, our predominant business is really managing our own assets. And that's where we can give the greatest value to our airline customers by offering them new technology aircraft, the most desirable airplane types and putting them out on long-term leases so they can make money and we can deliver superior results to our shareholders. But since we have this internal talent pool, we have the infrastructure and we have the global airline relationships, it does make sense for us to ramp-up this level of activity with respect to managed aircraft. And we are doing it. We are engaged with a number of financial institutions. We are engaged with other parties that have the financial means but do not have the depth of experience or knowledge about how to lease an aircraft or how to re-lease a used aircraft or how to eventually dispose of the aircraft, and we're going to be retained and we are being retained more and more frequently in that function. But it'll be a supplemental activity, it'll be very profitable. It does not require our use of capital, and we use our existing platform or existing IT infrastructure and our existing talent that's already embedded in the company.
John D. Godyn - Morgan Stanley, Research Division: That's very helpful. And just on a separate topic actually, as I reflect on sort of what we hear here today and the fundamentals of the company, consistent growth, consistent profitability, I wonder if you're -- if there's any opportunity for Air Lease to be added to an index, an equity index? That's not really a theme that a lot of the other lessors benefit from. Of course, you're a bit different. I'm just curious, and maybe this one's for Greg, but I'm just curious if there's any proactive conversations that you can have on that front?
Gregory B. Willis: No, currently, there's not any active initiatives to be included in any index.
John D. Godyn - Morgan Stanley, Research Division: Other than the [indiscernible] and mid-cap.
Gregory B. Willis: Yes, those are just generally -- they're usually market cap-driven as opposed to us reaching out. So it's certain sizes they consider you for. And we're already included in the Russell Indexes. And then I think you'll see, as we continue to grow the business...
John L. Plueger: Bond EBITDA or...
Gregory B. Willis: Bonds in the index with the equity side, yes.
Steven F. Udvar-Hazy: That's a good suggestion, and we'll explore what avenues are available to maybe get us included once we hit a threshold of whether it's $5 billion or whatever market cap.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect, and have a great day.